Operator: Good day, everyone, and welcome to today's program. [Operator Instructions] Please note this call may be recorded. It is now my pleasure to turn the conference over to Juan Pablo Tardio, Vice President and CFO of Helmerich & Payne. You may begin.
Juan Pablo Tardio: Thank you, and welcome, everyone, to Helmerich & Payne's conference call and webcast corresponding to the fourth quarter and fiscal year end of 2012. With us today are Hans Helmerich, Chairman and CEO; and John Lindsay, President and COO. As usual, and as defined by the U.S. Private Securities Litigation Reform Act of 1995, all forward-looking statements made during this call are based on current expectations and assumptions that are subject to risks and uncertainties as discussed in the company's annual report on Form 10-K and quarterly reports on Form 10-Q. The company's actual results may differ materially from those indicated or implied by such forward-looking statements. We will also be making reference to certain non-GAAP financial measures such as segment operating income and operating statistics. You may find the GAAP reconciliation comments and calculations on the last page of today's press release. I will now turn the call over to Hans Helmerich. Hans?
Hans Christian Helmerich: Thank you, Juan Pablo. We are pleased to report record revenues and all-time high net income for our 2012 fiscal year. During a year that experienced substantial headwinds across the oilfield service sector in terms of volatile energy prices and a sharply declining gas-directed rig count, it's a nice tribute to our people and their dedication that allowed us to post several all-time high marks. For example, 2012 was also our best safety year ever as the company continues to achieve the lowest recordable injury rate by a wide margin as compared to the industry and our largest competitors. Additional manufacturing and operating performance achievements set new standards during 2012 and acted to further underscore the company's organizational competencies and competitive advantages. Speaking of organizational competency, it's easy to focus on FlexRigs and the number side of the equation and overlook the primary role that our folks play in our continuing success. But in fact, this is very much a people business, and we are convinced that a strong culture is our most sustainable strategic advantage. We think of culture as the business of encouraging genuine buy-in, company-wide, of our shared values, touchstones such as integrity, safety, innovation, teamwork, then providing the framework and the systems with the tools to see those values translated into improved field performance and long-term value creation. Our ability to recruit and retain the best people is a top priority to building on our success going forward. The proof shows up in lots of ways. Here's one interesting snapshot. At a recent company service award dinner, we recognized the loyalty of some of our long-service employees. Listen to the totals regarding our on-the-ground experience. In 2012, we have 911 employees with 10 or more years with H&P; we have 198 with 20 years or more; and then 69 with 30 years or more. Those may be the numbers we're most proud of today. Before I turn the call back over to Juan Pablo and then to John Lindsay, who, you will recall, was deservedly promoted to President at our last board meeting, let me first make some comments about the broader energy landscape as we head into 2013. The volatility in the energy prices during 2012 saw natural gas prices trade below $2 an Mcf before improving significantly. However, NGL prices sank and oil prices dropped to $77 before recovering back to a range of $85 to $100, with current pricing on the low end of that range. Our sense is that oil prices within that range will result in improved activity levels as customers begin to allocate their 2013 budget dollars. It's hard for us to see natural gas price -- prices increasing enough to add much incremental drilling activity early in 2013. In addition to a cold winter, we'd have to see stubbornly high production levels ease off and actually decline and then gain a better understanding of the true scale that associated gas provides the market. Finally, it's difficult to pinpoint the scope of the well backlog overhang. We expect customers to be patient during the first half of 2013 to allow these issues to play out more fully and to see their impact on natural gas pricing. In addition to the energy pricing environment, improved drilling efficiencies are receiving more attention as a growing factor in sorting out the future rig activity levels. Of course, drilling efficiency is a theme we've been focused on for over 10 years, and it comes as no surprise that more and more operators see the potential of executing their drilling programs faster and with fewer rigs. As we expected, the bar is being raised for what constitutes a suitable rig and that squeeze will continue. We have not only aggressively repositioned our fleet to nearly 100% AC rig offering, but we've also delivered significantly better performance from those rigs. For instance, our footage per day has increased by over 50% from 2007 to 2012, while at the same time average well depth has increased by over 40%. As a result of the enhanced average cost per foot, we continue to drive a compelling value proposition for our customers. And while the rest of the industry has added AC drive rigs to their U.S. land fleets, our top 3 competitors, combined, have officially retired more rigs than they have built since January of 2009. Another way to look at it is, since the industry's rig count peaked in 2008, our active U.S. land count has increased by 25% ,whereas the same 3 competitors have seen an average reduction of 25%. Our expectation is that the drilling efficiency continues to be a driver for operators going forward, and that they will continue to provide attractive opportunities to service companies that deliver top performance. For H&P, we would expect the coming year to offer new build opportunities and the prospect to continue to lead the land industry in margins and activity levels. Now I'm going to turn the call back to Juan Pablo.
Juan Pablo Tardio: Thank you, Hans. As announced earlier today, the company reported a record level of $574 million of income from continuing operations for fiscal 2012, representing an increase of over 30% as compared to the prior year. We also reported all-time high levels of $581 million of net income and $3.15 billion of revenue for the fiscal year. Our capital expenditures totaled $1.1 billion during fiscal 2012, and our corresponding estimate for fiscal 2013 is, at this point, $740 million. Approximately 50% of this CapEx estimate is related to our new build programs, about 30% to maintenance CapEx and the remainder to tubulars and special projects. The portion allocated to our new build program includes the completion of new FlexRigs that are already under long-term contracts, as well as capital components and spares to either service existing rigs or be used to complete and deploy additional rigs. Net cash provided by operating activities was approximately $1 billion during fiscal 2012, including approximately $200 million in deferred income taxes. We benefited from these deferred income taxes largely as a result of the deduction for accelerated bonus depreciation used in determining our cash tax obligations. Assuming that the accelerated bonus depreciation is not extended, we estimate that our net cash provided by operating activities during fiscal 2013 will benefit from approximately $40 million in deferred income taxes. We expect at this point to be able to fully fund our fiscal 2013 CapEx program, as well as other scheduled commitments from existing cash and from cash to be provided by operating activities during the fiscal year. With a very strong debt-to-cap ratio of approximately 6%, the company's debt level declined to $235 million at the end of the fiscal year, including $40 million scheduled for payment during the fourth quarter of fiscal 2013. As reported in our consolidated financial statements, depreciation expense for fiscal 2012 was approximately $388 million. This amount included approximately $16 million of abandonment charges, most of which impacted our fourth fiscal quarter as described in our press release. Given the continuing growth of our fleet, we expect our total annual depreciation expense to increase to approximately $450 million during fiscal 2013. As the company continues to grow, general and administrative expenses are also expected to increase to approximately $115 million during fiscal 2013. Nevertheless, interest expense, after capitalized interest, is expected to decrease to approximately $7 million during the fiscal year. Our investment portfolio, comprised of 8 million shares of Atwood Oceanics and 967,500 shares of Schlumberger, recently had a pretax market value of approximately $440 million and an after-tax value of approximately $280 million. Our effective tax rate for continuing operations during fiscal 2012 was reported at approximately 36.5%, and at this point, we expect a similar rate for fiscal 2013. I will now turn the call over to John Lindsay. And after John's comments, we will open the call for questions. John?
John W. Lindsay: Thank you, Juan Pablo, and good morning, everyone. My comments will focus on the results for our 3 operating segments, U. S. land, offshore and international land, for the fourth fiscal quarter of 2012, as well as our outlook for the first fiscal quarter of 2013. I'll begin with our U.S. land segment, where revenue days decreased marginally to 21,951 days, representing 239 average active rigs in the fourth quarter. Included in the active rigs is the delivery of 12 new build FlexRigs during the quarter. Even though these new rigs were offset by previously active rigs becoming idle, AC drive FlexRigs maintained utilization levels above 95% for the quarter. Of the 239 active rigs, an average of 157 rigs were working under term contracts and an average of 82 rigs were working in the spot market. Average rig revenue per day increased by $229 sequentially from the third quarter to the fourth quarter to $28,325 per day. Early termination revenue accounted for approximately $280 per day in the fourth fiscal quarter as compared to approximately $140 per day in the third fiscal quarter. Average rig revenue per day for rigs working on term contracts during the fourth fiscal quarter was approximately 7% higher than the average rig revenue per day for rigs working in the spot market. This difference is mostly attributable to the mix of rig types and regions in these 2 categories. Average rig expense per day decreased $717 per day to $12,620. Average rig margin per day increased by $946 per day to $15,705 per day. The outlook for the U.S. land segment continues to remain positive. Our new build FlexRig program continues to lead the industry with on-time and under budget delivery. We have been delivering at a cadence of approximately 4 FlexRigs per month since October of 2011. Since October 1, 2012, the beginning of fiscal 2013, 7 FlexRigs have been completed. Nine contracted FlexRigs remain under construction and are currently being completed at the rate of approximately 4 FlexRigs per month through calendar year end, and we plan to deliver 2 contracted FlexRigs per month in January and February of '13. As of today, our U.S. land segment active rig count is 237 rigs, which leads the U.S. land in active rigs. 234 out of the 237 rigs are AC drive rigs. The 237 active rigs include 159 under term contracts and 78 operating in the spot market. Of the 78 rigs in the spot market, 77 are FlexRigs. Our rig count bottomed toward the end of September at 230 active rigs, and we believe our U.S. land rig activity is positioned to improve for the remainder of the calendar year and into the first calendar quarter of 2013. The qualifiers for this assumption are that oil prices remain strong, provided WTI remains above $80 a barrel and natural gas prices remain in the $3.50 range. We also have 52 stacked rigs today, excluding the 6 conventional rigs that were decommissioned at the end of the fiscal year. Of the stacked rigs, 20 are AC drive FlexRigs. However, at least 6 of those of FlexRigs have commitments to begin operations before the end of December. In the first quarter of fiscal 2013, we expect average revenue days to be down approximately 2% as compared to the prior quarter. Excluding the impact of early termination fees, we expect average rig revenue per day in the first quarter to be roughly flat as spot day rates have only slightly declined during the last few months and should remain firm through the remainder of the quarter. Revenues from early terminations are expected to be under $1 million in the first fiscal quarter of 2013. Our term contract coverage remains strong. We already have an average of 158 rigs locked under term contracts for the first fiscal quarter of '13; 150 rigs for the second quarter of fiscal '13; and 141 and 97 rigs for all of fiscal '13 and for all of fiscal '14, respectively. Excluding costs that are passed on to customers, we expect revenue per day for our rigs that are already on term contracts to increase by approximately $100 per day, on average, in the first fiscal quarter of 2013 and by approximately $250 per day, on average, for fiscal '13. Both of these increases are as compared to the fourth fiscal quarter of 2012. Our guys continue to work very hard to provide exceptional service to our customers, and at the same time, control costs. We were very pleased with the expense-per-day results during the last 2 quarters and expect average rig expense per day for the first fiscal quarter of 2013 to be in the $13,200 per day range. As a reminder, during the 2012 fiscal year, expense per day has ranged from $12,292 to $13,826 per day. We believe the continued expense per day improvements over the past 2 quarters are a result of our improved systems, supply chain processes and procurement, to name a few. We are convinced that we will continue to improve our processes. Nonetheless, our average rig expense per day will probably continue to experience quarter-to-quarter volatility as the timing of expenses can be influenced by many different factors. And now, I'll review our offshore segment fourth fiscal quarter results, where offshore operating income increased by approximately $4.3 million to $12 million as compared to the prior quarter. Revenue days increased by 15% to 695 days as 2 rigs returned to work. Average rig margin per day increased by $6,429 sequentially to $23,330 per day. The increase was mostly attributable to rigs completing mobilization and commencing drilling operations. Earnings from management contracts declined by approximately $1 million to $1.2 million, primarily as a result of 2 rigs moving to cold-stacked rates. Our outlook for offshore. As of today, the company's offshore segment has 8 rigs active and 1 rig stacked. As compared to the prior quarter, we expect offshore revenue days to increase by approximately 5% and margin per day to be roughly flat during the first quarter of fiscal '13. We expect pretax earnings for management contracts to be flat at slightly over $1 million during the first fiscal quarter. Now a review of our international, where international land segment operating income results from the third fiscal quarter to the fourth fiscal quarter increased by approximately $1 million. The primary factors driving the increase were increased activity and margins. Revenue days increased 8% to 2,001 days as 4 contracted rigs commenced drilling operations during the fourth fiscal quarter. Average rig margin per day increased $506 to $8,210 per day, which was mostly attributable to reduced mobilization and start-up costs as compared to the third fiscal quarter. The outlook for international. As of today, the company's international land segment has 26 rigs working, of which 16 are AC drive FlexRigs. Seven rigs are active in Colombia, 6 in Argentina, 5 in Ecuador, 4 in Bahrain and 2 both in UAE and Tunisia. All 3 idle rigs are 3,000-horsepower conventional rigs located in Argentina. In the first quarter of fiscal 2013, we expect international land revenue days to increase approximately 15% and average daily margin to be down approximately 10%, primarily due to downtime and labor interruptions in Argentina. Now that completes the operating segment remarks, and I will conclude with a few examples why we believe current market conditions present an opportunity for H&P to gain market share. First, we've picked up 10 new FlexRig customers during the past 12 months. You may recall, after the '08 downturn when activity began to improve, we were able to attract more than 20 new FlexRig customers. These new customers have shown a desire to high-grade their rig fleets because of efficiency gains for AC drive FlexRigs. Second, there's evidence the replacement cycle is continuing. During the past 12 months, the overall U.S. land rig count has decreased by approximately 230 rigs and yet the AC drive rig count has increased by approximately 70 rigs, indicating AC market share has increased, and overall U.S. AC utilization remains above 85%. Combined, the SCR and mechanical rig counts decreased in total by 300 rigs, causing market share reductions, and the combined SCR/mechanical utilization today is below 60%. With approximately 15% of the AC rigs stacked in the U.S. today, rig count bifurcation is occurring, and we believe those AC rigs are better candidates to return to work before the recently stacked SCR and mechanical rigs will return to work. Finally, and looking ahead to 2013, H&P's efforts will continue to be directed toward delivering best-in-class safety and operational performance for our customers and shareholders. Our people, processes and FlexRig technology create competitive advantages for the company, and we believe this should continue to provide future opportunities to build new AC drive FlexRigs. And now, I'll turn the call back to Juan Pablo.
Juan Pablo Tardio: Thank you, John. And, Victor, we will now open the call for questions, please.
Operator: [Operator Instructions] We'll first go to the side of Joe Hill with Tudor, Pickering.
Joe Hill - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: That was a fantastic quarter. John, could you talk to us about some of the different pieces of the expense movement in U.S. land that you guys saw in the fourth quarter, and maybe talk about what was actually going on at the field level relative to what was lower R&M expense and lower mob and stuff like that?
John W. Lindsay: Well, Joe, there's -- as we've talked about on this call and really previously, there's so many moving parts and pieces. There was M&S improvement during the quarter. There were other multiple moving parts that you could classify some as maybe not necessarily recurring in the next quarter. And so again, it's really hard to quantify it and give a lot of detail on it. M&S was a partial driver. I really think, though -- again, you've followed us a long time, if you just think about that band of expenses that we've seen over the last -- really, the last couple of years, we're in that -- we're kind of in that bandwidth. This quarter, we're on the lower end of that. I think our improved processes and systems, the effort by our folks, I really think it's going to enable us to tighten that band, if you will, that range of expenses and that's what I was trying to address in my comments.
Joe Hill - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Okay. So when I think about the $12,620 you guys experienced in the fourth quarter, can you bridge me to the changes, to the $13,200 you expect in Q1?
John W. Lindsay: There's going to be -- again, a large portion of that is M&S. I mean, the M&S for the quarter was excellent. I mean, we did a great job. I think another thing to consider is during this quarter, we're going to be reactivating rigs. That's a variable that's in play here as well. So again, it's really -- it's M&S and just other onetime opportunity that we just don't think that we'll see in this quarter.
Joe Hill - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Okay. And then, John, you've talked about seeing some improvements if we're experiencing stable commodity price trends in terms of the number of rigs you guys have working. But you've got your days down 2%. Is there anything going on there that we need to be thinking about?
John W. Lindsay: No. I think it's -- there's a lot of moving parts and pieces to the rig count. If you think about October, we started October at 230, and so the October average is below where we're guiding toward. We're at 237 today. We think we're going to continue to contract rigs, but we also have some rigs that are going to roll off of term contracts. In some cases, we're forecasting those to work. In other cases, we're not forecasting them to. So again, that number is in average compared to the fourth quarter. It's really nothing going on. It's just -- that's just kind of the way it appears as you look at the various segments and areas that we're working and just run the numbers.
Operator: We'll take our next question from Kurt Hallead with RBC Capital Markets.
Kurt Hallead - RBC Capital Markets, LLC, Research Division: So I think what I was able to pick up in the early part of your prepared commentary, Hans, was an expectation that there will be an increase in activity. But I also got the distinct impression that I think, as an industry, we're still trying to grapple with the magnitude of what that improvement will be. So in some of your maybe recent discussions with varying customers, what were kind of -- what kind of indications have they been providing to you? And is it something that may take them much longer into the first quarter to kind of get back to work or -- I'm looking for some color here and trying to get a sense on what kind of magnitude of directional change in activity we might see in the first part of next year.
Hans Christian Helmerich: Yes, Kurt. I think there are 2 pieces. One, of course, we don't have any control over and you guys watch closely, which is just directionally, where energy prices go. One of the things I wanted to point out is that there's some sense out there, and I hope they're right, that natural gas provides some lift. We don't see that happening very soon. If the oil prices are in the band that we've talked about, between $85 and $100, we think that's a positive environment. But the second piece is that, just anecdotally, we've had conversations with customers that indicate they will push the restart button on some budget dollars and as they even approach the turn of the calendar, prior to that, they're trying to sort through what type of rig rosters and what upgrades and additional rigs they may be interested in as they go forward into executing their 2013 drilling plans. So from several of those conversations, we've been encouraged that we'll see some lift there. And then we'll start the year and see what happens. But yes, I think we're encouraged from what we're hearing.
Kurt Hallead - RBC Capital Markets, LLC, Research Division: Okay. And then from the international front, I wasn't quite sure if I kind of picked up on what you were saying correctly going into, I think, the next quarter. You said you expect an increase in revenue days by 15%, but margin down 10% because of downtime in Argentina. Did I understand those 2 dynamics correctly?
John W. Lindsay: Yes, Kurt, this is John. That's correct. It was -- there was some rig downtime and some labor union issues in Argentina and that's what will impact the quarter negatively.
Kurt Hallead - RBC Capital Markets, LLC, Research Division: But your activity levels are going up, but you're making less on the activity that you're doing and it's all because of what's going on in Argentina.
John W. Lindsay: Correct.
Operator: [Operator Instructions] And we'll take our next question from Brad Handler with Jefferies.
Brad Handler - Jefferies & Company, Inc., Research Division: Maybe I could come back to Joe's questioning on the expense side, just a little bit. You talked about narrowing that band. Is that -- is the band -- from what we saw in the first half of the year, is that the narrowed band? Or are you putting yourself in a position where you'll be able to come back to us with a narrower band at some point in the near future?
John W. Lindsay: Well, if you look at the range of $12,000 to $12,300 up to $13,800 and some change, the $13,800, I think, was a little bit of anomaly. But if you look at the last 2 quarters, obviously, we've improved. But again, I can't stress enough the -- I don't think I mentioned, when Joe asked, the seasonality piece. There is definitely seasonality and then there's market conditions. There's just rigs reactivating. There's things that happen. But yes, I believe that we're going to be able to narrow the band. So rather than it being in the, what, the $1,600 range, we narrowed that range -- that band width down. And last quarter, we were at $13,300. And so again, I think $13,200 is a reasonable number to guide going forward.
Brad Handler - Jefferies & Company, Inc., Research Division: Okay, that makes sense. On -- as it relates to some individual pieces, you've stressed the supply chain improvements and the like and that sounds great. I'm curious, can you comment on labor or rather wage conditions as we head into calendar '13? Is there some explicit increase in wages that averages out that we should think about it as it relates to your U.S. expenses?
John W. Lindsay: I don't think so, Brad. We had a wage increase. It'll be a year ago towards the end of -- well, it'll be a year at the end of December. And again, we addressed this. The rig count's down over 200 rigs and so it's been a great opportunity for us to high-grade folks. We've continued to grow our fleet. And so I think we're in really good shape in terms of labor -- labor costs. I don't see any labor increases that are on the horizon at this stage.
Brad Handler - Jefferies & Company, Inc., Research Division: Okay, that's helpful. Maybe an unrelated follow-up for me, just one more. On the CapEx indications that you've given, the $730 million, if I wrote it down right, you contemplate some new builds. I guess, how many new builds are contemplated in that? And to some degree, what I'm getting at is I guess there's a flow of new builds being contemplated outside of what's already been contracted, if you can clarify that for us.
Hans Christian Helmerich: Yes, Brad, this is Hans, I'll take a shot at that. And I think the questions are good relating to the expense numbers, and it's hard to give lots of specificity and details, but I think and I hope one of the takeaways is we've focused on this for the last year. As an organization, we're getting better at it. We'll continue to put energy and effort into it, and I think the systems and the folks we have are doing a great job in managing that. So we're encouraged by that even though as we talked about a range in some of the moving parts particularly, I think, and John mentioned, the reactivation, as we get guys trained up and get those rigs out and top notch, that will drive some uncertain expenses. But now to move to your question related to the CapEx and how it might impact our manufacturing plans and efforts, I think just to remind folks, we've got 9 rigs left to deliver. 5 of those come out in '12, 4 in '13. John mentioned we'll have 2 contracted rigs roll off in January and 2 in February. So as we contemplate our CapEx for the year and ask what happens from March on, our model and our preference is to have fully contracted rigs. I think in a market like this where we've had a lull for a period of months, we've seen this happen before, and oftentimes as visibility improves and operators respond to a better outlook, we can see a pop back, if you will, after a lull like that. So we want our supply chain to be ready to respond to that. And I think we're in good shape in that respect. We've talked before about the need for capital spares and unitizing some parts and pieces that will support a rig fleet of our size. As we have a active and robust manufacturing effort, we're able to drive those to kind of a near 0 status because we can pull that out of the manufacturing queue. If we see things slow down, and they'll certainly slow down in '13, then we will spend some time and effort and dollars having capital spares at the ready. Those can transition into equipment kits and potential new builds. So I think, maybe lastly, we've had conversations with folks about, if we get into March -- we're in a good position of not having to make a decision now. But one of the nice things about the flexibility of our manufacturing effort is as we look to March and forward, would we be willing to capture the continuity value of a dialed back manufacturing effort? And we would certainly consider that. And so, if that meant 1 or 2 rigs per month for a very short period of time, then we would give that consideration. But we're not at the point where we have to decide that. So that's kind of, I hope, some color on your question.
Operator: [Operator Instructions] We'll take our next question from Novid Rassouli with Dahlman Rose.
Novid Rassouli - Dahlman Rose & Company, LLC, Research Division: Hans, I was just curious, on the rigs that are rolling off on the 3-year term contracts, are you guys able to continue securing the 12- to 18-month shorter contracts we discussed before? Or are the majority of these rigs moving to the spot market? If you could just give us just a little bit of color there on the environment.
Hans Christian Helmerich: Well, I'll respond and then have John add to that. It really becomes dependent on customers and where those rigs are located. There have been several instances where somewhere during the term, a customer moved a rig, for instance, out to the Permian. And then if that rig would roll off, they'd be more inclined to want some term extension, like you mentioned, of 12 or 18 months, that gives them some visibility on keeping that rig there. There are other situations where we've had customers say they're willing to see that going to the spot market and either they'll retain the rig or it rotates to another customer. So it really seems to be particular to the customer and their wishes. There's not a lot of -- as you would expect, there's not a lot of push for a rig rolling off and then folks at this point signing up for extended term. But I think that's just a reflection of the market we're in.
Operator: [Operator Instructions] And it appears we have no further questions at this time. I'll turn the conference back over to our speakers for closing remarks.
Juan Pablo Tardio: All right. Well, thank you, everybody. And have a good day. Goodbye.